Operator: Good afternoon. My name is Julianne, and I will be your conference operator today. At this time, I would like to welcome everyone to the Power Integrations Second Quarter Earnings Conference Call. [Operator instructions] Joe Shiffler, Director of Investor Relations, you may begin your conference.
Joe Shiffler: Thank you, Julianne. Good afternoon, everyone, and thanks for joining us. With me on the call today are Balu Balakrishnan, President and CEO of Power Integrations; and Sandeep Nayyar, our Chief Financial Officer. During the call today, we will refer to financial measures not calculated according to generally accepted accounting principles. Please refer to today's press release, which is posted on our investor website, for an explanation of our reasons for using such non-GAAP measures as well as tables reconciling these measures to our GAAP results. Our discussion today, including the Q&A session, will include forward-looking statements, which may be denoted by words like will, would, believe, should, expect, outlook, forecast and similar expressions that look toward future events or performance. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected or implied in our statements. Such risks and uncertainties are discussed in our press release and in our most recent Form 10-K filed with the SEC on February 13, 2019. Finally, this call is the property of Power Integrations, and any recording or rebroadcast is expressly prohibited without the written consent of Power Integrations. Now I'll turn the call over to Balu.
Balu Balakrishnan: Thanks, Joe, and good afternoon. Second quarter revenues increased 15% sequentially, coming in near the upper end of our range at $102.9 million. That's down 6% on a year-over-year basis, reflecting the impact of trade disputes and the related cyclical slowdown in the semiconductor industry. However, while trade continues to be a source of uncertainty, we are encouraged by recent trends in bookings as well as distribution sell-through, which exceeded sell-in by a wide margin for the second straight quarter. Based on these improving trends as well as incremental revenue from recent design wins, we expect a return to year-over-year growth in the third quarter. Specifically, we are projecting third quarter revenues of $114 million, plus or minus $3 million, which would be up 11% sequentially and about 4% year-over-year at the midpoint. Looking more closely at the Q2 revenues, while all four end-market categories increased sequentially, the largest contributor was the communications category, up more than 50% from the prior quarter, driven by new fast-charging programs for the Smartphone market. The mobile device market is clearly entering a new phase of adoption for faster chargers, catalyzed by several converging trends. First is the new USB PD charging standard, which, in conjunction with the new Type-C connector, enables delivery of up to 100 watts to any mobile device. Second, OEMs are incorporating larger batteries in their devices in order to extend battery life as usage continues to rise. We expect this trend to persist with the adoption of 5G phones, which will consume more power, in general, but will also encourage greater usage of power-hungry functionality, such as streaming video. And third, with handset makers looking for ways to compete for share in a slower-growing market, many OEMs now regard charging speed as a differentiating feature. And while the level of emphasis on charging speed varies across OEMs, it is clear that faster charging is an industry-wide trend that will play out over the next several years. We believe we have the best technologies in the market to address the fast-charging trends, and we think our advantage will grow as a power levels continue to rise. Efficiency is essential in fast chargers since small form factors are incapable of dissipating much heat, while integration is also critical since advanced charges typically require more complexity and a higher-component count. Our InnoSwitch products already offer the highest levels of efficiency and integration in the market, and we believe our competitive advantage is evident in the growth we are seeing in the handset market. We are extending our market leadership even further with the latest additions to the InnoSwitch family announced this afternoon in conjunction with our earnings release. For those that may not have seen it yet, we announced today that we are now shipping Inno 3 and Inno 3 pro products incorporating proprietary gallium nitride switches. We believe we are the only company currently shipping high-voltage GaN-based products in high volume. In fact, several aftermarket charges, incorporating our GaN-based products, are already widely available at retail, including a 30-watt USB PD charger with the footprint smaller than a business card, which easily slips into a short pocket. Such small power factors are made possible by the superior efficiency of our GaN-based InnoSwitch devices, which enable a level of power density not attainable with silicon switches. While our initial focus with these new products is on high-power chargers for mobile devices, GaN plays a major role in our roadmap for years ahead, and we plan to introduce a range of new products that will bring the superior performance characteristics of GaN to a wide range of applications in the near future. Moving now to the consumer category, which is dominated by appliances, revenues in Q2 remained well below the year ago level, reflecting trade issues and related slowdown in consumer spending in China. However, on a sequential basis, consumer revenues grew high single digits for the second straight quarter, driven by seasonal strength in air conditioning as well as improvement in major and small appliances. Importantly, a significant portion of the difference between sell-through and sell-in came from the consumer category, again, this quarter, suggesting that channel inventory associated with appliances has been worked down considerably. In the computer category, we saw sequential growth of better than 30% in Q2, reflecting a rebound in the PC market after a weak first quarter. While our computer revenues have fallen in recent years, reflecting the specular decline of the desktop market, we see opportunities for growth going forward as USB PD begins to penetrate tablets and notebooks. We also anticipate growth from our new InnoMux chipset, which offers a highly differentiated solution for the display market. As discussed on last quarter's call, the InnoMux chipset pairs a version of Inno three with a new mixed-signal controller chip, enabling a single-stage power supply that eliminates the multiple DC-to-DC stages traditionally used in displays, resulting in both designs simplification and efficiency gains. With the Energy Star 8 specification set to take effect next year, PC OEMs are now in the midst of a redesigned cycle for monitors, and we believe the InnoMux chipset is the best available solution. We expect to begin shipping production quantities in the coming months for a top tier PC OEM, with a meaningful revenue contribution expected in 2020. Finally, revenues from the industrial category increased low single digits sequentially. While broad-based industrial markets continue to exhibit some softness, our High-Power business is on track for a third straight year of double-digit growth, driven by design wins, strength in renewable energy applications and robust spending on power grid and locomotive applications, particularly in China. Our High-Power business continues to set the pace for innovation as one of the only non-captive suppliers in the gate driver market. Our latest product introduced last month is the SCALE-iFlex gate driver system, an innovative new architecture for driving high-power modules in high vol applications such as locomotives, wind turbines and industrial motor drives. The SCALE-iFlex architecture employs a single master controller, which can be connected to up to four modules, each with its own driver in a daisy chain configuration. This configuration allows the customer to scale up in power, simply by adding modules to the chain and offers significant advantages in terms of size and reliability compared to competing solutions. The new architecture is compatible with modules from a wide range of manufacturers and is capable of supporting both IGBTs and silicon carbide MOSFETs. In conclusion, we delivered strong Q2 results, and we expect healthy sequential growth in revenues and earnings in Q3. While trade and cyclical concerns continues to weigh on overall demand, we believe we are on track to outperform the broader industry in 2019 based on design wins and our exposure to secular trends, like faster charging, energy efficiency and clean energy. With that, I'll turn it over to Sandeep for a review of the financials.
Sandeep Nayyar: Thanks, Balu, and good afternoon. As usual, I will focus primarily on our non-GAAP numbers, which are reconciled to the GAAP figures in the table accompanying our press release. Second quarter revenues were $102.9 million, up 15% from the prior quarter and down 6% year-over-year. The year-over-year decline was driven by industrial and consumer markets, each of which was down double digits, reflecting macro and cyclical trends. The softness in these markets was partially offset by low double-digit growth year-over-year in the communication category, driven by the fast charging and mid-teens growth in the computer category, driven by the tablet charger win we highlighted a few quarters ago. Revenue mix for the quarter was 37% consumer, 33% industrial, 24% communication and 6% computer. With the upside in the communication category, end-market mix was slightly less favorable than we had anticipated. And as a result, non-GAAP gross margin came in slightly below our expectation at 51.2%. Non-GAAP operating expenses were $36.2 million, in the middle of our forecasted range. Expenses rose about $1.5 million from the prior quarter, driven by annual merit raises, which took effect at the beginning of the June quarter and by headcount increases. The non-GAAP effective tax rate for the quarter was 6%, bringing our non-GAAP earnings to $16.7 million or $0.56 per diluted share. Cash flow from operations was $19.4 million for the quarter. Inventories increased in dollar terms, but fell by 19 days from the prior quarter, ending the quarter at 159 days. We expect another significant reduction in inventory days in the third quarter. As Balu noted, distribution sell-through exceeded sell-in by a substantial margin in Q2, resulting in reduced channel inventory. Specifically, weeks in the channel fell to 6.7 at quarter-end, down 2 full weeks from the prior quarter. We believe the vast majority of the difference was our distributor serving the appliance and industrial end-market, suggesting that inventory conditions in those markets have improved. Looking ahead, we expect third quarter revenues to be in the range of $114 million plus or minus $3 million. This would be a sequential increase of 11% at the midpoint with the bulk of the growth coming from the communication and industrial markets. We expect our gross margin to benefit from ongoing cost reduction efforts resulting in a modest sequential improvement. Specifically, we expect non-GAAP gross margin to be between 51.5% and 52%. Non-GAAP operating expenses for the third quarter should increase sequentially, driven largely by headcount growth. I expect non-GAAP OpEx to be between $36.5 million and $37 million. Lastly, I expect the non-GAAP tax rate for the quarter to be approximately 7%. And with that, I'll turn it back over to Joe.
Joe Shiffler: Thanks, Sandeep. We'll open it up now for the Q&A session. Julianne, would you please give the instructions for Q&A?
Operator: [Operator Instructions] Your first question comes from Ross Seymore from Deutsche Bank.
Melissa Weathers: This is Melissa on for Ross. Congratulations on the solid quarter. I was wondering if you could tell us how you're thinking about the stickiness of the revenues from fast charging wins going forward, and if we should be concerned about any risk of like a design out or a dual sourcing?
Balu Balakrishnan: Well, first of all, our GaN-based designs are unique in the sense that there is really no other technology that can achieve the size benefits that we can offer with the GaN-based Inno switches. So those are, at least for the time being, relatively safe, and we have a significant number of aftermarket providers already using the product. It's available at the retail outlets and amazon.com and so on. Now as far as the general cellphone market goes, again, as long as they -- as you go to higher and higher power levels, we offer such a compelling advantage. We think we have a significant benefit that we provide to our customers. So once we win the design, we are confident that, at least for a period of time, we will have an advantage. And so we think it'll be much more stickier than the lower end-market where it has become commoditized.
Melissa Weathers: Okay. And then could you remind us how we should be thinking of any incremental spending on OpEx as a result of fast charging wins?
Balu Balakrishnan: Well, I think as we had indicated -- we have given guidance for the quarter, for the next quarter, we should see expenses to grow sequentially. So the year should be somewhere around 6% growth. We are continuing to make investments, as we had talked earlier, in automotive. But I think if you look at our model over a period of time, if our top line grows to a model of the low double digit, expenses will grow 60% of that. So that model give-and-take over a period of time should hold.
Sandeep Nayyar: Just for the clarification, it is less to do with faster charging because we already have the infrastructure to support the cellphone OEMs and mobile OEMs. Most of our headcount addition is to go into other markets, broader markets. We have so many new products now that we are actually limited by our reach in industrial and consumer markets.
Melissa Weathers: Okay. Got it. And then one more if I can, still in the comps end-market. Is there any way that you can quantitatively or quantitatively give some color on the impact of the Huawei ban that has been impacting all of your peers?
Balu Balakrishnan: Well, it has not had any impact so far with us. We have -- we don't directly ship to Huawei. There are subcontractors who do use our chips to build the adaptors for Huawei. The overall business, to the best we can estimate, is relatively small. It's a low single digits in revenue. And we haven't had any significant change in the business. But going forward, we will not be able to engage with them on new designs. So if the trade issues continue, then it could have some impact in the longer term. But in the short term, there's really no significant impact.
Operator: Your next question comes from David Williams from Loop Capital.
David Williams: Congrats on the quarter first and first half. And secondly, I guess just kind of thinking about your new GaN-based product and your silicon carbide drivers, can you kind of talk about your automotive positioning, and where you're kind of thinking about that longer term? And if you -- if these new products are geared towards that or kind of what you're thinking in terms of automotive longer term, I guess?
Balu Balakrishnan: Okay. So the GaN products we announced are not directly related to automotive, but let me just first talk about automotive. We believe automotive is going to be the largest single SAM that we can address in the long term. So we are actually making significant investments to get into the market. And we get into multiple areas in automotive, but they're all to do with power train or powered conversion, like driving the main motor, charging the batteries and also converting the high-voltage battery to lower-voltage for the electronics and subsystems. So we will not only sell drivers for IGBTs and silicon carbide modules that drive the motor or that do the conversion for charging, but we'll also be selling our low-power devices, like InnoSwitches and linked switches high-voltage battery to low-voltage conversion. So we are already engaged with one of the largest OEMs in developing a product for them, board-level product for them. But we are also working with other, we have started talking to other OEMs, and we expect to work with them to develop a system-level products for them. But as you all know, the design cycle time for automotive is relatively long. And also the electric vehicles are, as a percentage of the total vehicles at this point in time is relatively small, but it's expected to take off in the '23, '24 time frame. And by that time, we should be in a very good position to start generating revenue. And I think we are very well positioned in terms of time. We're also well positioned in terms of the benefits we bring, which is high reliability, no optical, no optocouplers, which are considered not so reliable. And we provide a lot of safety features that the automotive guys appreciate. In fact, most of the engagements we've had to date is actually driven by the customers, they came to us asking to provide products for them.
David Williams: Great. And then if we kind of look at the Industrial segment, it sounds like the renewable energy side was fairly healthy. Can you talk about the other parts of the industrial side? I was expecting a bit more, I guess, in terms of growth Q-to-Q, and it looks like that came in about flat or maybe just a few points of upside. Are you seeing, I guess, softness or weakness anywhere outside the renewable? And just kind of what are your thoughts, I guess, through the end of the year for the industrial segment?
Sandeep Nayyar: Yes. I mean there was just as we talked about it like the consumer appliances. We did see a little bit of softness in the some of the other Industrial segment, but we are hoping that we will get, as we talked about in our guidance. But the more of the growth is actually coming more from the high power than in the rest of this area.
David Williams: Okay. Very good. And then lastly for me...
Balu Balakrishnan: And David, one other point there, we did see a significant difference between the sell-in and the sell-through related to the industrial category. Sell-through was significantly higher. So that does suggest some of the inventory in the channel related to industrial customers has been worked down somewhat.
David Williams: Okay. Very good. And so you're feeling pretty good about the health in the channel inventories and maybe shipping to consumption there, or do you get a sense that maybe there is some backfilling that needs to happen?
Sandeep Nayyar: Well, so I wouldn't be surprised that if you saw that our overall weeks when down to about 6.7. So I won't be surprised that if it goes back into the 7 or the low 7s, 7.2 because, but traditionally we have run around that level of the 7 weeks. So, but I don't, I'm not seeing that to increase significantly somewhere in that ballpark.
Operator: [Operator instructions] Your next question comes from Tore Svanberg from Stifel.
Tore Svanberg: Congratulations on the quarter. I do recognize this is an earnings call, but given the GaN announcement, Balu, I was hoping you could elaborate a little bit more on what this means for you, not just obviously right now with InnoSwitch3 and 3-Pro, but maybe you could talk a little bit about the supply chain you have for GaN and when should we start to expect revenues even outside of the smartphone market?
Balu Balakrishnan: Okay. Thanks, Tore. The GaN technology is very, very important for us, not just for the adapters, but power conversion, in general. We definitely expect to spread the technology into a number of new products. And I would say, in general, anything about 30 or 40 watts, we expect to be using GaN technology because of the benefits it brings. And there are really two aspects to it. One is, our GaN technology is quite differentiated from all other GaN technologies that people have been talking about. And that's because it's proprietary, we have developed it completely internally. And it is really geared specifically towards power conversion. So all of specs are specifically designed to be optimum for power conversion. That's one aspect. The second aspect is, the reason GaN as a technology has not been commercialized is because GaN is very difficult to use if it is a discrete component. It's so fast, people have a great difficulty driving it, they also have a great difficulty protecting it because it can -- before you have a chance to protect it, it can get to very high currents and destroy itself. But that problem, we have completely solved because it's fully integrated inside our system-level chip so the customer doesn't have to worry about it at all. In fact, if you take our Inno 3 with GaN in it, it looks just like any other Inno 3, except for the performance. They'll see a huge improvement in performance, but it is as easy to use as any of our existing Inno 3s, and we handle all of the difficult safety features and the driving the GaN in appropriate manner. So we have been at it for many years. We have solved all the problems, I believe. We have -- we are already shipping in high volume. We've had very positive feedback from our customers. And it's a -- we expect to use a lot of it going forward. In terms of the supply chain, we are actually using one of our existing foundries to do production. But as you know as like all of our other technologies, the GaN technology that we have is our own, it's completely proprietary, not available to anyone else.
Tore Svanberg: That's all very helpful. And you also mentioned that USB PD is now relate inflection point. I was hoping you could elaborate a little bit on how diversified your business is with -- specific with this smartphone market? Yes, if you could just elaborate that. Because obviously, you're expecting pretty strong growth both Q2 and Q3. So is that growth coming from many different players?
Balu Balakrishnan: We have a number of OEMs, who contributed to our growth in Q2 and will contribute to growth in Q3. But in terms of the largest growth, it comes from, primarily, from Chinese OEMs because they are pushing the fast charging much more so than others. They have gone too much higher power levels in charging batteries. But going forward, we expect fast charging to be a theme across almost all OEMs.
Tore Svanberg: Very good. And maybe moving on to consumers. So you obviously talked about the inventories in the channel really coming down, but do you expect the consumer business to start gradually growing here again? And I'm thinking more obviously with the sell-through starting to act better, was that across-the-board, including consumer?
Sandeep Nayyar: Yes. And basically as far as we said it grew sequentially, and I think, third quarter, I don't expect that much. The trade is still in uncertainty, but in the third quarter typically the air conditioning business tends to taper down. But with Q4, I'm expecting that to start ramping back up because of the air conditioning business.
Balu Balakrishnan: Just to answer your question on sell-through. The strength in sell-through primarily came from consumer and industrial applications. So that gives us a positive feeling that inventories are being worked down in both of these areas.
Tore Svanberg: Great. And just one last question on your own inventories. Sandeep, you said you expect another big decline in inventory days for Q3. Do you think it gets sort of back to the levels of the year ago...
Sandeep Nayyar: Yes. I think, as you know, our model is somewhere between 110 to 125 days. Even though we'll have a step down in Q3, I think for the near term, you will see our inventory a little more elevated than our model.
Operator: Your next question comes from Christopher Rolland from Susquehanna.
Christopher Rolland: Congrats on that strong comps results there, that's fantastic. Perhaps, following up there on USB PD. Can you talk about what kind of linearity you expect in the next few quarters and into 2020 on USB PD? And then, how meaningful is that PC OEM that you talked about in there? Could we see that drive, let's say, 20% year-on-year growth for that segment?
Balu Balakrishnan: Okay, so let's talk about USB PD first. USB PD is going to be a driver of our revenue for several years to come. This is not going to be a quarter-by-quarter thing, but rather a continuous expansion of faster charging into smartphones. And as far as the seasonality, generally, Q3 is our strongest season for cellphones, in general. And therefore, we expect the same with USB PD. Having said that, we do have lots of other design activities. So we think that Q4 will be slightly higher to the best we can model because we think the consumer will come back a little bit in Q4. So we think that will help Q4 a little bit in terms of sequential growth. Now coming to the PC OEM, I believe you're referring to the InnoMux product that we talked about. This is the product that replaces an AC to DC power supply and mulitple DC-to-DC power supply into a single power supply. And we have won a major design with one of the large PC OEMs that will start generating revenue later this year. But this year, the revenue will not be material, but next year it will be a reasonable revenue. In fact, if you take the PC area in context, it will be actually quite significant. If you take the overall company revenue, it will be obviously not that big. But we -- but that's just one design. We are still working with many other companies, including, not just displays, but also TVs. So we expect more revenue from that product as the time goes on. I hope I answered that question. I -- were you talking about the InnoMux?
Christopher Rolland: No, no, that's exactly the design I was talking about. Switching gears a little bit to GaN again. I know some other guys have talked about GaN, and ON, for example, started off with GaN, I think, maybe Infineon to for a lot of power applications and then they switched over to silicon carbide. For this particular application that you guys have, is silicon carbide an alternative, good alternative? And if so, why did you choose GaN over silicon carbide?
Balu Balakrishnan: Well, silicon carbide is relatively mature technology, but it's quite a bit more expensive than silicon. GaN is more cost-effective than silicon carbide for these types of applications. So that's the reason we are using GaN. I mean we have nothing against silicon carbide. We think silicon carbide is a very valuable technology, especially when you go to high voltages like 1,200 volts and 1700 volts. At 600, 700 volts, it will have a hard time competing with the gallium nitride technology. To answer the first part of your question, why there are so many people who have talked about and off of -- have offered samples of GaN, but have not been successful commercializing it, it is exactly what I mentioned earlier. As a discrete device, GaN is extremely difficult to use. Customers have tried very hard. It is so fast that driving the GaN is -- with the discrete component, customers run into serious problems. We have completely solved that by integrating it inside our product so customers don't have to worry about it. And that is the major difference. The second difference is, our technology, we believe, is uniquely different. It is much better suited for power conversion because it's designed from scratch to meet what our requirements are. So it's a discrete device, which is usually designed to be a very ubiquitous. It can be used as a discrete device in any application. So we have the luxury of fine-tuning the device plus we use a totally different technology. So it's very different from everybody else, and we've taken our time to make sure it's very reliable and robust. And I think the customers are, have given us very positive feedback on that.
Operator: We have no further questions. I'll turn the call back over to the presenters.
Joe Shiffler: All right. Thanks, everyone, for listening. There will be a replay of this call available on our investor website, investors.power.com. Thanks, again, for listening, and good afternoon.
Operator: This concludes today's conference call. You may now disconnect.